Operator: Good morning, and welcome to SiriusXM's First Quarter 2021 Financial and Operating Results Conference Call. Today's conference is being recorded. [Operator Instructions]. At this time, I'd like to turn the call over to Mr. Hooper Stevens, Senior Vice President, Investor Relations and Finance. Mr. Stevens, please go ahead.
Hooper Stevens: Thank you, and good morning, everyone. Welcome to SiriusXM's First Quarter 2021 Earnings Conference Call. Today, we will have prepared remarks from Jennifer Witz, our Chief Executive Officer; and Sean Sullivan, our Chief Financial Officer. Scott Greenstein, our President and Chief Content Officer, will join Jennifer and Sean to take your questions. I would like to remind everyone that certain statements made during the call might be forward-looking statements as the term is defined in the Private Securities Litigation Reform Act of 1995. These and all forward-looking statements are based on management's current beliefs and expectations and necessarily depend upon assumptions, data or methods that may be incorrect or imprecise. Such forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially. For more information about those risks and uncertainties, please view SiriusXM's SEC filings and today's earnings release. We advise listeners to not rely unduly on forward-looking statements and disclaim any intent or obligation to update them.  With that, I'll hand it to Jennifer.
Jennifer Witz: Good morning, and thank you for joining our first quarter call. SiriusXM turned in a great performance across the board. Like many companies, we are benefiting from Americans getting back on the road, growing auto sales and consumer incomes bolstered by significant federal stimulus. These impressive results are also a strong testament to demand for great content, our resilient business model and once again, our teams flawlessly executing the strategies we laid out. SiriusXM is the premier audio entertainment company in North America. Across our properties, approximately 150 million users regularly listen to our content, much of it is premium, unique and expertly curated, covering everything from music to talk, news, sports, comedy and podcast. I'd be remiss if I didn't mention upfront that Drake, a global superstar and one of the most streamed artists in the world, in March launched his highly anticipated exclusive SiriusXM channel, Sound 42, bringing his diverse musical taste to our millions of subscribers. For the first time ever, we have also enabled nonsubscribers to tune in by an open access option we set up for this channel. Our business model, the best in audio, powered by complementary subscription and advertising engines, has made us the most profitable audio company in the world. You are already familiar with our world-class capabilities on the subscription side. And on the advertising side, we now have the tools to serve as a one-stop shop for both advertisers looking to efficiently buy large audio audiences and for audio content creators looking to distribute and monetize their content. We are truly a unique company with a mix of assets and skills found nowhere else. And as I mentioned, our year is off to a great start. We achieved record low first quarter churn of just 1.6%, driving an 83% increase in our SiriusXM self-pay net subscriber additions to 126,000, up from 69,000 in the first quarter of 2020. Our revenue growth of 5% was bolstered by a rebounding advertising market and our off-platform and podcast success. Adjusted EBITDA of $682 million climbed 7% and was the highest single quarter EBITDA figure in our company's history. We are well on track to achieve our full year subscriber and financial guidance. Automotive SAAR was a phenomenal 16.8 million in the first quarter, up 14% from the first quarter of 2020 and led by an astounding 17.7 million in March. We generated more trial starts in March than in any single month in our company's history. Still, we are carefully following the news about silicon shortages and frequently speaking with automakers. If not for this uncertainty and the historically low auto inventories being reported, we would most likely be increasing our subscriber guidance today. Remember that SiriusXM in-vehicle is no longer purely based on a one-way network. I'll discuss more about 360L in a moment. But this next-generation platform now in close to 2 million vehicles gives us new insights about consumer behavior. For instance, it has helped to give us valuable insights into the COVID recovery, which shows us that driving and commuting in the first quarter was still only 80% of pre-COVID levels, but in recent weeks has climbed to 90% of pre-COVID levels, a positive sign that people are getting back to normal life. It's tremendously exciting to have this growing collection of data at our fingertips, and this data set will grow dramatically over the next few years as 360L becomes the default SiriusXM platform in vehicle. 360L deployment as a percentage of new vehicle trial starts were about 18% in the first quarter, and we are on track for 360L to reach about 25% of this year's SiriusXM-enabled installs. 360L is the plan of record with most OEMs, and its adoption will continue to climb over the next several years. The 2-way functionality and advanced UI enabled by 360L opened up a host of engaging features for consumers and new capabilities for our business. We are also utilizing consumption data from 360L to help optimize our one-to-one marketing efforts to drive better conversion, retention and pricing. This is still new for us, and we have much to refine. But with growing volumes and experience, we are well on our way to enhancing both the consumer experience and business performance from our next-generation SiriusXM platform. Our SiriusXM ARPU continued its steady climb, up nearly 3% from the first quarter of 2020 to $14.30 and demonstrating the high value our subscribers place on our premium content bundle and easy-to-use service. The strong demand for our All Access package has encouraged us to create a new top-tier, high-end offering that will include additional content, exclusive customer benefit and multiple access points, a sort of super-premium family plan. We plan to launch this new offering in the coming months. We are also making progress driving out-of-car streaming among SiriusXM subscribers and gaining more subscribers, who don't need an in-vehicle subscription. We find that higher engagement outside the vehicle and more listening across the households lead to better in-vehicle conversion rates and retention performance, so we will continue to invest in these efforts. Continuing the recovery trend in the back half of 2020, our advertising business has rebounded from the pandemic lows, and we see steady momentum so far in 2021. Historically, ad revenue is seasonally slower in the first quarter of the year, but even still, we managed to achieve revenue of $354 million, a 24% increase from the prior year period. We're very proud of our position as the largest digital audio ad platform in North America, enabling advertisers to reach almost 2/3 of online audio listeners with our on and off-platform ad products. Stitcher adds to our opportunity in advertising with greater access to the fast-growing podcast segment. Stitcher had a record quarter, and we are extremely impressed with its performance so far. We launched The Atlas Obscura Podcast, which hit the top 10 on the Apple Podcast chart. In addition, this week, we announced the acquisition of 99% Invisible, which furthers the expansion of SiriusXM's podcasting universe and deepens our content creation skill set. Roman Mars and his talented team at 99% Invisible will continue to work with us to develop new podcast projects. AdsWizz, the global leader in digital audio and podcast technology solutions, has reached a significant milestone of over 1 billion monthly podcast downloads from its audio platform. The platform, which is used by leading media companies and podcast publishers, including NPR, The New York Times, NBCUniversal News Group, American Public Media, WNYC Studios, and Rogers Sports & Media in Canada, combined publishing tools and audience analytics from Simplecast with our award-winning suite of monetization products and services. AdsWizz tech powers 4 of the most popular podcasts in the U.S., The Daily, News Now, Up First and Dateline NBC.  Pandora's tremendous scale remains the cornerstone of our success in ad sales. And while Pandora engagement overall remains a challenge, we do see encouraging growth in the use of Pandora in vehicles. Further, when listeners use our Modes feature to tailor their personalized music, we see a meaningful uptick in listening. As Pandora is one of the larger ad supported apps on iOS, we are keeping a close watch on IDFA development and should be relatively well positioned to manage that transition with our considerable first-party data. We never stop thinking of creative ways to enhance the variety and value of the programming we deliver to our customers. And in the first quarter, SiriusXM made several high-profile additions that further solidified our position as the best provider of curated audio programming in North America. We already talked about Drake. In addition, we recently unveiled more than 30 new SiriusXM streaming music channels that go deep with specific artists, including exclusive channels from Bob Marley, LL Cool J, Armin Van Buren and Steve Aoki. As with Drake, the biggest artists and brands in music see our platform as the medium for them to share music, pursue creative explorations and express their world views.  Throughout Black History month, we presented several SiriusXM channels that honored pioneering black artists, and Pandora launched Wake Up! mode on the Black Music Forever station. Pandora, SiriusXM and Stitcher, all back the Stand for Sonic Diversity pledged with the goal of increasing the number of voices of people of color in audio advertising. For Women's History month, our Pandora live powered by women virtual event, featured performances by Gwen Stefani and Jazmine Sullivan and was hosted by Hoda Kotb from SiriusXM's TODAY Show Radio. On SiriusXM, 15 different channels celebrated the Women of classic rock, jazz, '80s, '90s country and hip-hop. In the podcast space, we debuted original exclusive podcasts from Marvel and SiriusXM. Marvel Declassified and Marvel Method launched widely on SiriusXM, Pandora, Stitcher and all major platforms. Furthering our efforts to deliver the best and most comprehensive sports programming and similar to our recently expanded agreements with the NFL and NBA, we signed a new agreement with Major League Baseball that extends our relationship for multiple years and also expands our streaming rights. We now offer every MLB game in addition to every NFL and NBA game as part of our premier digital-only subscription. This enables our subscribers to stream all the games on our app and on 360L, and they can even choose to hear their favorite team's announcers for every game. Earlier this month, we also produced and presented our First Masters as the tournament's exclusive audio broadcaster. Greg Norman, one of Golf's all-time great players, served as our lead analyst. And we continue to unveil important collaborations to deliver our content to more and more listeners. We teamed up with T-Mobile to deliver a first of its kind Pandora experience to T-Mobile customers that includes ad-free radio weekends, special music stations powered by popular SiriusXM channels and early access to SiriusXM original podcasts. We are looking to launch additional collaborations with T-Mobile in the future. Solid advertising growth, effective investments in compelling content and robust digital products and a resilient growing self-pay subscriber base has solidified our premier position in the audio entertainment industry. Our first quarter results give us high confidence in our full year outlook and the long-term position of our business. With that, I will pass it over to Sean.
Sean Sullivan: Thank you, Jennifer, and good morning, everyone. As Jennifer highlighted, our first quarter results were strong as we continue to rebound from a volatile year, investing in new content, while generating revenue and adjusted EBITDA growth from our business. Total revenue increased 5% to $2 billion, driven by sharp growth in advertising revenue of 24%. The addition of Stitcher, which we acquired in Q4 of 2020, coupled with growth in both our on and off-platform businesses, including AdsWizz, contributed to the advertising revenue growth year-over-year. Adjusted EBITDA increased 7% to $682 million. Diluted earnings per share were $0.05, or $0.07 excluding onetime items, including the satellite impairment and impairment related to office leases and a onetime tax settlement benefit. With respect to the onetime items, our results reflect a $220 million noncash impairment charge for the SXM-7 satellite failure, which was announced in January. We have issued a request for proposal to construct a new satellite to replace SXM-7, and we're currently working through the insurance process and will book the likely insurance recovery in a future period. We also incurred a $25 million noncash impairment charge related to office leases that we see occupying as we make more efficient use of our space going forward. These noncash impairment charges are excluded from adjusted EBITDA. And lastly, we also realized a $95 million benefit to income tax expense, resulting from a favorable state tax settlement. In terms of free cash flow, we generated $211 million for the quarter on lower contractual OEM receipts plus higher royalty and cash interest payments. Turning to the SiriusXM segment. Revenue increased 2% to $1.6 billion with ARPU growth of 3% to $14.30, and gross profit remained steady. As Jennifer mentioned, automotive sales saw a boost in the opening months of 2021 with March SAAR landing at 17.7 million, a 55% increase from March 2020. While consumer demand for new and used vehicles is strong, the growing silicon supply shortages could limit further upside. SiriusXM added 126,000 net new self-pay subscribers, ending the quarter with 31 million total self-pay subs. Churn improved to 1.6%, a first quarter record, and SiriusXM ended the quarter with 34.5 million total subscribers. A new vehicle trial structure adjustment for 2 automakers and, to a lesser extent, lower vehicle shipments due to silicon supply constraints contributed to negative pay trial net additions during the quarter. For the full year, we expect the ending paid trial base to shrink by approximately 1.5 million as these new agreements cycle into place with variability to these estimates, driven by changes in auto sales and inventories. As a reminder, this doesn't affect total trial starts, which we still expect to grow at the fastest rate since 2015 to approximately 24 million during 2021. Moving now to the Pandora segment. The engine of growth from the Pandora business is advertising, which saw a 29% increase in revenue to $312 million compared to the prior year period. Growth in monetization at Pandora was aided by the addition of Stitcher and a growing off-platform business centered around AdsWizz. Pandora's ad monetization was strong at $86 per 1,000 hours, a 27% increase year-over-year and a record first quarter high RPM. And off-platform revenue, excluding Stitcher, grew approximately $14 million or 48% compared to the first quarter of 2020. Bookings were strong across the board during the first quarter. Financial service companies increased spending. We saw gains from telcos and even retail, driven by grocery and big box retailers. Telemedicine ad spending jumped and the former grew to reemphasize spending on core drug brands. As we look into the second quarter, we're seeing that broad strength continue, plus we're now starting to see real gains in travel and tourism spending after a year of those categories being dark. Pandora monthly active users in total ad-supported listening hours were 56 million and 2.87 billion, respectively. Pandora added 113,000 net new self-pay subscribers, ending the first quarter with 6.4 million total self-pay subscribers. While we continue to work to stabilize MAUs in Pandora, engagement in Pandora's premium tier is the highest among all streaming services. We still feel confident in Pandora's potential advertising growth and the benefits of larger scale to SiriusXM. Gross profit in the Pandora segment grew 30%, and gross margin improved 3 points compared to the prior year period. This is mostly attributed to the growth in advertising revenue, highlighting the excellent operating leverage in the business. In terms of capital allocation, we continued significant capital returns during the first quarter with dividends of $61 million and common stock repurchases of $516 million. Debt to adjusted EBITDA was 3.4x at the end of the first quarter, and we maintained significant liquidity to meet our operating and investment needs. Lastly, we are reiterating and feel confident in all of our subscriber and financial guidance for the year, including SiriusXM self-pay net subscriber additions of approximately 800,000, total revenue of approximately $8.35 billion, adjusted EBITDA of approximately $2.575 billion and free cash flow of approximately $1.6 billion. So with that, I will open it up to Q&A.
Operator: [Operator Instructions]. Your first question comes from Vijay Jayant of Evercore.
James Ratcliffe: It's James Ratcliffe for Vijay. Two, if I could. First of all, on the Pandora side, very strong monetization in the quarter. You continue to see subscriber -- or listeners erode. Are there plans -- or can you talk about efforts to either start growing that listener base or at least to stabilize it? And secondly, on the satellite radio side, very low SAC in the quarter. Does that have to do with the new agreements that you mentioned? Or is there something else going on there?
Jennifer Witz: Sure. Thanks, James. First, on the Pandora side, we're very pleased that we continue to have the largest free digital audio platform in the U.S. We recognize that the losses in the listeners are not where we want to be, and we're extremely focused on that. We have a number of initiatives in place to deliver more and better content, more relevant recommendations and improving the Pandora digital experience in the apps. But what you pointed out is key for us going forward that our monetization has been really strong at Pandora, and we continue to deliver strong RPM. The team has built strong innovative ad products there. And look, we've got -- we launched an interesting partnership with T-Mobile. We've had a really good relationship with them over the years. And we have a very unique Pandora offering in place with T-Mobile, and we look forward to doing more collaborations with T-Mobile hopefully in the future and other big brands that we should be able to talk about soon. And then I guess on the SAC, your question was about SAC right, James, your second question? Is that right? Yes. So I think overall, from a SAC -- go ahead.
James Ratcliffe: Sorry, just why it stepped down so much and if that had anything to do with the new OEM agreements that were mentioned?
Jennifer Witz: Yes. I think two things. We continue to work with our OEM partners to strengthen our relationships. You saw our announcement this month with Jaguar Land Rover, yet another example of an OEM partner increasing penetration. We're launching standard across their models on model year '21 vehicles, and we've extended that agreement through 2026. So we continue to work with the OEMs, and those agreements as we renegotiate them, the terms across our subsidies, our trial structures and our revenue share may change, but we're constantly optimizing them in favor of building penetration, which is what's going to drive longer-term growth for us in the future. So the SAC expense in the quarter is partially a function of those new agreements with various automakers, but it's also really driven by what supply constraints we've seen with silicon. And this is really across the board, it's an industry phenomenon that I know you've seen widely reported, where automakers are continuing to manage the supply of silicon across their vehicle lines. And so we did see lower installs than we would have expected in the quarter. But luckily, consumer demand on the automotive side is very strong. And we had the biggest quarter we've ever had on trial starts, which bodes well for conversions in the future.
Operator: Our next question comes from Sebastiano Petti of JPMorgan.
Sebastiano Petti: I was just wondering if you can give us an update on your podcast strategy. Obviously, a lot of headlines from Apple and Spotify recently about moving more towards subscription-based service. Just wanted to hear your views on if this is where the market is going and perhaps how SIRI is thinking about it longer term?
Jennifer Witz: Sure. I'll start, and Scott, you can feel free to add on. Our focus is on delivering the best experiences for content creators, and we can help them monetize more broadly because we have the best solutions in terms of adtech and our ad sales teams. You saw with our acquisitions last year of Stitcher and Simplecast that we added to these capabilities, and we believe we are really well positioned to broadly distribute content from podcast creators and audio publishers across platforms, whether it's our own platforms or off platform. And we believe, and that's what we see content creators are really looking for. Of course, the announcement this week from Apple and Spotify, we are really well positioned to offer subscription products. We have subscription products across our brands today, including at Stitcher, where some time we've had -- for some time, we've had a premium podcast subscription end market, which does provide capabilities for listeners to listen to podcasts ad-free, to get early windows and to see -- have premium exclusive content. So we can be nimble. If that's really where the market heads and consumers want to go, we certainly have the opportunities to monetize and help content creators monetize through subscription. I'm not optimistic that consumers are going to want to have a lot of micro audio subscriptions. But again, if that's the path that we see evolving, we have the opportunity to pursue that as well. Scott, did you want to add on?
Scott Greenstein: Sure. Just one thing on that. So the biggest thing right now for podcast, I think, is having high-quality production and enough A level content in the podcast -- sorry, marketplace. So we offer the production skills, the curation skills to get into a subscription model on a moment's notice. We're obviously living it every day. But if you look at a podcast in January, Crime Junkie was in the top 10 of Stitcher, Pandora and SiriusXM on people listening to podcasts. If you talk to any podcast creator, they want awareness and marketing. And we'd like to get into a position where we're comfortable marketing and promoting podcasts, so the awareness is there at a volume level. And at that point decisions on subscriptions, micro subscriptions, that will be easy. We're about trying to figure out where the best fighting point is that as this evolves.
Sebastiano Petti: That's helpful. And then perhaps if I can follow-up on just your comments around the silicon shortage. If indeed, the supply chain is constrained and OEMs are unable to kind of refill that inventory, would that be a positive? Should we think about that as an upside benefit to EBITDA as -- for the full year as SAC build -- the inventory build will not necessarily come through in the numbers? Just any color there would be great.
Jennifer Witz: Sure. Certainly, if installs are lighter going forward or continue to be lighter going forward, then we would have lower SAC expense. For the business, we clearly are hopeful that the OEMs will be able to meet consumer demand. There's just been an incredible amount of demand on the consumer side for both new and used cars. And you saw SAAR at 16.8 per -- 16.8 million in the first quarter. And as we said, March was at 17.7 million. If that strength continues, the inventory levels are historically low at 39 days, and there's only so much inventory out there to support the consumer demand. But strong auto sales is good for our business, and we're hopeful, again, that the OEMs will be able to deliver to support that demand and that there will be strong used car inventories as well to support the demand because that's the best thing for our business on the top line.
Operator: [Operator Instructions]. Our next question comes from Matthew Harrigan of Benchmark.
Matthew Harrigan: You've got arguably certainly the best portfolio audio-wise on sports in North America. We've seen a lot of announcements on DraftKings. I know they probably distribute like the Dan Le Batard content through you. But can you talk about how online sports betting and the halo around that? I know sports viewing is down, but you still have a lot -- some benefits there. Is there any prospects for direct deals? I mean you have Action Network and some other assets that are super high profile.
Jennifer Witz: Scott, do you want to take that?
Scott Greenstein: Sure. So sports betting has always been a direct corollary to live sports. So when you look at where we'll go in audio, live sports, betting and other things, we've had a fantasy sports program for a long time. We have, as you saw recently with baseball, tied up digital rights. So the key to sports betting is, I believe, the affiliation and the relationship with the live sports events. And certain things, anyone can do and, others, you need the live and the authorized rights with the leagues digitally. And that's the position we're in right now. We're going to continue. We've tried things with this and other things. We're looking to create what will be the marquee in that area. The issue is it's easy when you see the NFL or baseball and all that, it's one of those. We're watching and analyzing all that's out there. And when 1 or 2 emerge, we'll be there in, and you'll hear more about that soon.
Operator: Next question comes from David Joyce of Barclays Bank.
David Joyce: I was wondering on the cadence of continued paid promotional subscriber losses. Granted you said that you'd be on the path to maybe losing 1.5 million this year. But is there a path to that going to 0 at some point? Or is that always going to be part of your range of the OEM relationships? And then secondly, related to the OEM payment impact that were lower in the first quarter, how much of that was timing and how much was related to the change in these contracts?
Jennifer Witz: Sean, do you want to take those?
Sean Sullivan: Yes. Maybe, Jennifer, I'll take the second one first. David, yes, the -- as you saw, we -- the cash flow in the first quarter, $211 million was in line with our expectations. We had some working capital timing movements, some incremental cash interest, as I talked about. So nothing really unusual there. On the paid promotional sub losses, I think they'll continue to be -- I think I tried to at least size that for you for 2021. And they'll continue to be, I think, part of our OEM deals, as Jennifer talked about. We've made some amendments. We look at these deals holistically. I think paid promotional is still an important part of our relationships with the OEMs and the consumers. So I don't expect it to go -- to be eliminated. I don't know if there's anything you want to add to that, Jennifer.
Jennifer Witz: Yes, I think it's just one component, right? The trial structure. The overall deal economics. And again, we're focused on building penetration as are the OEMs. They've been very supportive of having the product in as many vehicles as possible. And every OEM is different in terms of what's important to them in terms of the economic structure. So the real key for us is driving self-pay subscribers as that's the biggest indicator of customer demand.
David Joyce: Okay. And on the royalty decision that got delayed another couple of months, what is embedded in your expectations needed for this year? What should we be looking for?
Jennifer Witz: Sean?
Sean Sullivan: Yes, David, so I'll just -- I'll reiterate what I think we talked about at the year-end call. We've taken a pragmatic view. I think that what we pay, what we have lobbied for in the hearing and what they're asking for is all public information. I think we've taken a pragmatic view. It's embedded in our guidance. And frankly, it's embedded in our first quarter results. So as you know, we'll know June 15th, and we can certainly update everyone the next time we're together.
Operator: Our next question comes from Robert Routh of FBN Securities.
Robert Routh: First question -- or a couple, if you don't mind. First, could you -- there was a talk about you guys talking to AT&T about acquiring some of the spectrum that they have because it was complementary to some spectrum you have. And if that was true, I'm just curious as to whether or not that's something you're still interested in? And if so, what's the status of that process is or isn't, if you're comfortable talking about it?
Jennifer Witz: Sure. So we've been working closely with AT&T and the FCC on the adjacent spectrum. And I think it's -- we're looking at various opportunities to use that in conjunction with government agencies. It's not for commercial purposes, but it's important to us to protect that guard band because it's next to our satellite spectrum. And we're making progress in terms of the steps we need to go through to put a test in market, and we feel confident that we'll be able to execute on that.
Robert Routh: Okay. Great. And a related spectrum question. Given that you're migrating from the XM Sirius platform to one, and you're going to have a bunch of spectrum free under your control, what thoughts do you have as far as how you could possibly monetize that? Because I assume the SEC will let you keep the licenses. I don't know how they wouldn't. Have your autonomous car companies or anyone approached you all and inquired about somehow being able to use some of that spectrum when you free it up? Or are you planning to use at all for incremental products for one of your other platforms?
Jennifer Witz: We're still looking at a number of options there. I mean the decision around low-band satellites will likely come in the next 18 months. But today, we still have a significant number of subscribers on the low band. And we want to continue to maintain and support that business. But over time, we have looked at, and we'll continue to look at opportunities to work with other companies on ideas, whether it's data services or video or other implementations. But of course, there's always the opportunity to use that very efficient broadcast spectrum to enhance our audio offering. And that could be more opportunities to build out different business models, including free.
Robert Routh: Great. Okay. And one last one, if I may. I think you mentioned on a previous call about the omni platform deal that you had signed with Kevin Hart, where it's both on Sirius and Pandora and podcast and kind of doing that. And when it comes to major talent, I know that many of them are reluctant to be on anything other than the biggest platform you have. But I'm just curious as to how your success has been in attracting other major talents or even sort of A list, B or C list talent to some type of a SiriusXM omniplatform presence similar to what the model that you had highlighted that you had with Kevin.
Jennifer Witz: Scott?
Scott Greenstein: Yes. So thank you for that question. Not only Kevin was sort of the prototype for it, we have others that you'll be hearing about shortly that are multi-platform deals. I would go the other way. All our talent now is -- that we discussed within our current talent, Andy Cohen is launching a music channel, in addition to his channel, but it will have playlist on Pandora as podcasts. We're largely sort of only talking about what someone's audio content interests are? And then figuring out what they would like and what would work for us on all 3 platforms where relevant. This is almost now, I'd say, our standard procedure. We don't have too many people that are just coming in and saying, I'd like to be on one platform or the other. I think you'll see with U2 and Drake and others, you'll see some migration into platforms and things. This is what we like most about our three-pronged attack. It gives customization. We have people that due to schedules, like Kevin, may want a podcast for a while. Others want to do live radio due to topical events and current stories in the news. Others feel music is part of their life, but they don't have a way of expressing it and they'll do playlist. So this will be the standard operating procedure going forward, not the exception.
Robert Routh: Another question, I guess, and it sounds -- I think it sounds like, yes, it's actually working, it's actually attracting a lot of talent too serious in your various platforms because you do have all of those where some of the other players only have one. Is that safe to say?
Scott Greenstein: Exactly. More than safe to say. And the last point on that is awareness is the key point any content creator, no matter what you want, whether it's a live sporting event or anything, they want to know. And our 3 platforms allow what, I think, is the ultimate version of cross-promotion on any piece of content out there. So yes, they're all really excited when they come in to chat about it.
Robert Routh: No, that's what I expected, and the flexibility that others can't offer. Great. Thank you very much. I really appreciate it.
Scott Greenstein: Thanks so much.
Operator: Your next and final question comes from Jim Goss of Barrington Research.
James Goss: A couple of things. One, involving your ad sales process. I wonder if you could talk about the ad sales integration with through a variety of options, especially between Pandora and Sirius? And whether the app usage and availability has broadened ad avails significantly? And then separately, on the 360 rollout process, en route to 360L being your default version, as you mentioned, is there any targeted process to -- by price or demographics served or anything else that you're trying to do to get the 360L service rolled out to specific categories sooner than others?
Jennifer Witz: Thanks for the question. So on the advertising side, we've been able to, I think, capitalize on our strengths on the sales team side under John Trimble. We've brought all the teams together. They'll still soon be launching under a new umbrella SiriusXM Media, which brings together all of the capabilities that we have on the sales side across the teams to offer advertisers really efficient opportunities to buy across scaled audiences. We reach 150 million listeners. And we just offer a great suite of opportunities across multiple formats and platforms on our owned and operating platform and off platforms. And we have all of the tech solutions to support that as well across AdsWizz and including Simplecast that we bought last year to provide enhanced podcast capabilities on the distribution and hosting analytics side as well. So we're really well positioned from an advertising side. As it relates to the inventory on our owned and operated platforms, clearly, Pandora is the largest, and we continue to monetize really strongly there. But we are growing our ad revenue on Stitcher and off-platform, and we have a nice business on the SiriusXM broadcast side as well. The SiriusXM digital side continues to build, and we hope that will contribute more in the future on the advertising side. For 360L, we are very focused on broadly distributing this right now. So we haven't focused on specific demographics or cohorts necessarily. The objective is to rapidly roll that out. And we expect to be in about 25% of our installs this year in terms of what's new and coming to the market. And we've talked about the fact that we have about 2 million vehicles in markets that are capable today. So we have great progress. It's moving very quickly. And the builds as most of our OEMs are now making it plan of record. And we'll -- moving forward because of all the data we're going to get from 360L in the vehicles, which is really new to us, we will be able to customize, I believe, our pricing and packaging even more to support demand for different segments. But today, we're just focused on getting the awareness up for the features that are there because when users take advantage of those features, there's a significant increase in value, in their attributed ease of use. And we're looking for improvements, obviously, related to that across conversion and retention as well.
Hooper Stevens: Thanks, everybody, for participating in today's call. That concludes the call. We'll speak to you soon. Take care.